Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the 2U, Inc. 2017 Fourth Quarter Earnings Call. At this time, all participants are in a listen-only mode to prevent background noise. [Operator Instructions]We will conduct a question-and-answer session And now I would like to welcome your host, Mr. Ed Goodwin, Vice President of Investor Relations.
Ed Goodwin: Thank you, operator. Good afternoon, everyone, and welcome to 2U’s Fourth Quarter and Full Year 2017 Earnings Conference Call. By now, you should have received a copy of the earnings release for the company's fourth quarter and full year 2017 results. If you have not, a copy is available on our website, investor.2u.com. Before we begin, I want to let that we now have a deck that accompanies our earnings call, which you can find on our Investor site. We’ll be referencing some of the slides during the call, so I encourage you to access the deck. The recorded webcast of this call will be available in the Investor Relations section of our website. Also, we routinely post announcements and information on our website, which we encourage you to access and make use of. Today's speakers are Chip Paucek, CEO and Co-Founder; and Cathy Graham, CFO. During today's call, we may make forward-looking statements, including statements regarding the company's future financial and operating results, future market conditions and the plans and objectives of management for future operations. These forward-looking statements are not historical facts but rather are based on our current expectations and beliefs and are based on information currently available to us. The outcome of the events described in these forward-looking statements is subject to known and unknown risks and uncertainties that could cause actual results to differ materially from the results anticipated by these forward-looking statements. This includes, but is not limited to, those risks contained in the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31, 2016, and other reports filed with the SEC. All information provided in this call is as of today. Except as required by law, we undertake no obligation to update publicly any forward-looking statements made on this call to conform to statements or actual results or changes in our expectations. Also, it is 2U's policy not to update our financial guidance other than in public communications. Non-GAAP financial measures discussed during this call are reconciled to the most directly comparable GAAP measures in the tables attached to our press release. I would now like to turn the call over to Chip.
Chip Paucek: Thanks, Eddie. April 2, 2008, 1:26 p.m. What is that date and time? The moment our certificate of incorporation was filed in the State of Delaware. This April 2nd, 2U will be 10 years old. We’ve accomplished a great deal in this last decade, including just completing our 16th public quarter and our best year ever. But we're really just hitting our stride. It’s rare to find a company that has momentum on its side, and is seeing acceleration at this stage of its life. We operate in a very large market that is undergoing transformation, and 2U is the company leading that transformation. You’ve heard me say it before, but it's always worth repeating because we mean it. Our financial success is driven by a simple formula. When students win, universities win, and when universities win, 2U wins. Yes, I'm a bit fired up and why shouldn't I be? We just completed a great 2017, and I like where we stand moving forward. Let's talk about the results first. Q4 was great. On the top line, revenue with $86.7 million, 51% growth over Q4 2016. 51% for the quarter. What about 2017 overall? We had revenue of $286.8 million, 39% growth over last year. Our graduate program segment grew 31% in 2017, with the remaining growth driven by our GetSmarter course - Short Course segment, which is rapidly proving itself as a core component to our vision. On the bottom line, adjusted EBITDA was $12.7 million for the quarter, and was $11.4 million for the year, an improvement of approximately two percentage points in margin over all of last year. Cathy will take you through this in more detail shortly, but it was a great year and a great quarter. What's driving our progress? Well, in the Graduate Program segment, which we now refer to as 2U Grad Division, we began the acceleration of our new DGP launch cadence. 10 new programs launched in 2017. We increased our 2018 slate from 13 to 14 new programs, and we've now announced three of the 16 new programs for 2019. More on that in a moment. On top of all that, we successfully completed the acquisition of GetSmarter, creating our Short Course segment. We believe GetSmarter will become a meaningful contributor to our performance. Given that it’s the end of the year, we give you additional disclosure, including our cohort margins and our top 10 list by annual enrollment. The power of our purpose driven business model is evident in those results too, so I'd like to share a bit on these now. First, let's talk cohort margins. At our Investor Day in October, we gave you a preview of our 2017 cohort margins. At that time, we had a good amount of clarity on where we were. I'm thrilled to say that we actually exceeded what we gave you. Cathy will cover that in her section. So let's turn to the top 10 list for a moment, which you can find in our earnings deck. The first thing you'll notice is the top 15 list, not 10. Why? Let’s talk about why we started giving this list in the first place. There’s a moment in time earlier in our life as a public company where our business was not as well understood, and some people wrongly believed our growth was driven only by the core four original programs. So while we can't disclose enrollment numbers unless our clients do, this relative ranking, the top 10 list, helped investors gain confidence that our newer programs were growing, and that our growth came across many different verticals. It told a true story that newer programs were on the list, and that the programs on the list were approaching, achieving and in some cases, exceeding our steady state target of 300 to 500 new student enrollments per year. Today, we're no longer seeing the same movement in the top 10. Why? Well, first of all, I'm pleased to say that many of our older programs continue to grow through innovations and product marketing. But more importantly, the vast majority of our programs are new. Even more fundamentally, the programs we have - the programs on the list, tell you what we have - the programs on the list tell you less than several years ago. Regardless, let me give you some color that we think is useful. First, number 10 on the list, data science at Berkeley, was just a hair under 300 new student enrollments, all at Berkeley quality. This means that the top 10 programs have grown to our target enrollment levels. What’s more impressive, the top seven were each above 500 new student enrollments. Let me put that in perspective. A third of all programs operating in 2017 were at or above our steady state target for annual new enrollments. That’d be oppressive, even if those programs were launched at the same time, but remember, most of our total 34 programs are pretty new. Eight were running for only one or two quarters, so brand new in that case. And 16 of the total, or about half, had around less than two years. So how do we show you the progress of our newer programs? Well, the expanded - we expanded the list from 10 to 15. Our programs rank 11 to 15, there are three from our 2016 cohort, NYU Speech, Syracuse Info Science, and yes, Simmons Enterprise. Not only were those three programs launched less than two years ago, each is also the first in its vertical. And while the Enterprise model was challenging in terms of its original premise of collapsing the cost structure of five things into one, as we moved to a more of a normal program, some of the offerings, including behavioral analysis, shined. You can see that we now also offer behavioral analysis at Dayton. That’s our program selection at work there by the way. So our growth is not only driven by a handful of programs in large verticals. Our growth is driven by an expanded selection of graduate programs. We continue to enter new academic verticals. And in existing verticals, we continue to add programs in different geographic regions, with varying levels of selectively using product marketing to further build out those businesses. So let's talk a bit about pipeline. It continues to be excellent. Today we announced an important step forward in pipeline that addresses our vision as a worldwide leader in digital education, our first International Graduate Program, and what a partner to start with. If I was going to pick one single university degree combination to start with in Europe, this might be it. University College London or UCL, has partnered with 2U to offer an MBA program, which is expected to launch in 2019, pending any further university approvals. UCL was in 1826 and has always been a trailblazer. UCL was the first university in Europe to allow women to have the same standing as men, and to allow students of any religion to attend. This will be the first online Masters program for their Excellence School of Management. This partnership will help them extend their mission across the globe. I'd like to thank Vice Provost, Anthony Smith, for his leadership here. But again, along the lines of just getting started, this is the first IGP in the history of 2U, but we believe the first of many. This will clearly have an impact on our TAM. After UCL, we now have three Graduate Programs slotted for 2019. Pipeline is going great and you can expect a flurry of activity and announcements over the next several months. Let's spend a few moments talking about our WeWork deal. It's multi-dimensional, and we love what the parties each bring to the table. First, the deal gives 2U a perpetual license to the Flatiron school's code. Last year at Investor Day, we told you we planned to invest more in our learning tech. we've built a ton of impressive technology across the business, and that includes the online campus we built back in 2009. Today we believe it's still the best purpose-built, mobile-first platform for delivering live classes and distance content. But as we promised our partners, our job is to make the programs great permanently, to evolve our tech and services, not to be best in class, but ahead of the best in class. And that's what I think this will allow us to do on the learning side. I was blown away when I first did a demo of Learn. It’s by far the best learning platform I've seen. Built on GitHub, it allows all kinds of flexibility and content delivery, data tracking and social interaction. By integrating our existing proprietary tech platform, particularly the robust backend into our now proprietary code of Learn, will see a fundamental step up in our student and faculty experience. We’ll rebrand this integrated platform and announce that to the world in the coming months, but it's really good, so stay tuned. On the rest of the deal, simply put, WeWork brings a distinct physical expression to our online experience. Think about it. Every student in a 2U Graduate Program will get a free global access pass to any WeWork in the world. that's something none of our partners could do on their own. The scholarships offer a new channel for us to operate in, but as you know, scholarships and fellowships are normal course of business for 2U. But being able to deliver them to the WeWork community is super exciting. And finally, the future of learning in Work Center, will offer us an opportunity to showcase our faculty. As the plan for the Learning Center comes together, we'll share more with you. The deal is a powerful example of how our scale benefits our partners. Cathy, take it away.
Cathy Graham: Thanks, Chip. While our financial performance for fourth quarter and full year 2017 largely speaks for itself, I'd like to give you some color on these results before turning to our view of the future. We closed out 2017 by again delivering significant year over year revenue growth. At $86.7 million for the fourth quarter and $286.8 million for the full year, revenues exceeded the prior year periods by 51% and 39% respectively. In our Graduate Program segment, year over year revenue growth was 30% for the quarter and 31% for the year, with the remainder of the growth in each period coming from short course revenue. Graduate Program revenue growth continued to be driven primarily by an increase in Full Course Equivalent. For the fourth quarter, FCE showed a year over year increase of 25%, in line with our expectations. For those of you wondering when you can expect to see reacceleration in year over year FCE growth, we anticipate this will occur in the second half of 2018. Consider what we've said about 2018 Graduate Program revenue, that we expect year over year growth around the 30% mark, but with acceleration in later quarters paving the way to a higher annual growth rate for 2019. If our revenue growth rate is expected to be about 30% for the year, but the later quarters should be higher, it stands to reason that the earlier quarter should be lower. We expect the same pattern to hold true for Graduate Program FCEs. Fourth quarter FCE growth was enhanced by a 4% increase in average revenue per FSE. About 1.5 percentage point of the increase was due to an increase in the quarter's revenue, driven by year end changes we made based on experience to the assumptions we used to reserve for bad debt, and in one case, to calculate deferred revenue. An additional one percentage point was due to a year-end adjustment that lowered revenue in one program during the fourth quarter of 2016. The remainder was due primarily to the impact of either actual tuition increases on average revenue per FCE, or effective increases resulting from the fact that we made more use of scholarships and new programs in 4Q 2016, than we did in this past fourth quarter. In our Short Course segment, we had over 6,700 short course FCEs in the fourth quarter. And as expected, the percentage of FCEs offered at US and UK universities, increased sequentially to more than half of the total. This resulted in a corresponding increase in average revenue per FCE to $1,777, 44% higher than in the third quarter. You should expect to see average revenue per Short Course FCE continue to increase over time, as higher priced US and UK university courses become an increasing majority of this segment’s revenue. Now looking at our earnings measures. At $500,000, fourth quarter net income improved year over year by $2.7 million, and the corresponding margin improved by more than four percentage points over the prior year period. For the full year, our $29.4 million net loss showed a year over year decline of $8.7 million, but only a two tenths of a percent decline in margin to 10.3%. These full year dollar and margin declines were the result of absorbing facilities related step ups in depreciation and amortization, acquisition related increases in equity compensation expense, and a book only foreign currency loss recognized in conjunction with transferring funds to South Africa for the GetSmarter acquisition. After net adjustments of $7.4 million, fourth quarter adjusted net income was $7.5 million - $7.9 million or 9% of revenue. This represented a $5.9 million and six percentage point year over year improvement to adjusted net income, and adjusted net income margin respectively. On a per share basis, adjusted net income improved by $0.10 over the same quarter of 2016. For the full year, after net adjustments of $25.1 million, adjusted net loss was $4.3 million or 2% of revenue. Adjusted net loss was $4.3 million or 2% of revenue. This represented a $500,000 decline, but a one percentage point year over year improvement in adjusted net loss and adjusted net loss margin respectively. Even with the slight dollar decline, year over year adjusted net loss per share improved by $0.01 due to the inclusion of shares outstanding related to our September 2017 follow on offering. Note also that we saw acquisition related increases in stock based compensation expense in the second half of 2017, and continue to see meaningful year over year stock based compensation expense increases related to our headcount growth. That said, we believe that our stock based compensation expense of 7.6% of revenue, remained very reasonable relative to similar high growth companies we surveyed. After a further net adjustment of $4.8 million, fourth quarter adjusted EBITDA was $12.7 million or 15% of revenue. This represented an $8.2 million improvement in adjusted EBITDA, and a seven percentage point improvement in adjusted EBITDA margin over the prior year period. For the full year, after a further net adjustment of $15.7 million, adjusted EBITDA was $11.4 million or 4% of revenue. This represented a $6.9 million improvement in adjusted EBITDA, and a two percentage point improvement in adjusted EBITDA margin over the prior year. As we did last year at this time, we've provided fully allocated Graduate Program segment profitability margins at the launch cohort level for full year 2017. This segment profitability measure is the same as the adjusted EBITDA measure we have used in prior years. However, now that we're reporting segments, we have updated our terminology to match our disclosure. Programs operating for four years or more, had a margin of 39%, three percentage points higher than the smaller group that made up our four year or more vintage for 2016. This small group of nine from only two launch cohort, has some of our largest and most profitable programs. So it's currently at the higher end of what we would expect for mature program margins. Further, remember that the number of new programs we are launching per year, now significantly exceeds both the total number of programs in this most mature cohort, and the number that are moving into this cohort on an annual basis. Given this and the fact that a portion of our corporate cost allocations are done on a per program basis, cost allocations are being pulled away from our most mature programs at a faster rate than the rate at which the total cost being allocated are expanding. As this pattern is likely to continue for several years, it is possible that we may see the margins for this cohort expand even further, before potentially settling back a bit. For 2017, programs that had been operating for between three and four years, had a fully allocated margin of 25% for the year, seven percentage points higher than the 18% margin we reported for the vintage in 2016. Additionally, programs that had been operating for between two and three years, had a fully allocated margin of 14% for the here, 20 percentage points above the 6% loss margin we reported for this vantage in the prior year. Remember that these cohorts contain only one year of program launches each, and are therefore most prone to margin variability based on program mix. This is particularly true for the two to three year cohort, where the influence of launch timing is still noticeable, and where our models would generally predict a wide range of margins, typically between negative 10 and positive 10%. And that leaves all of the segment level losses in our Graduate Program business exactly where we would expect. In programs operating for two years or less, including programs expected to launch in 2018, where we had costs in 2017, but no revenue. This time period corresponds to our period of heaviest net negative cash investment in new program launch and scaling. And for 2017, these programs had a combined loss margin of 400%. And while this represents an increased loss for this cohort compared to the prior year period, the increase is driven primarily by the continuing expansion of our annual launch calendars. What we're seeing now across all our program cohorts strongly validates the typical now across all our program cohorts, strongly validates the typical program economic lifecycle we've discussed with you, and makes us very comfortable that increasing our investment in new programs to drive growth, is a wise strategic decision. From a balance sheet perspective, we ended the year with $223.4 million in cash. This balance reflects activity during the year, including both the use of $97.1 million in cash for the purchase of GetSmarter, and the addition of $189.5 million in net proceeds from the sale of common stock, both of which occurred in the third quarter. Our year-end balance sheet also has a low $14.2 million in receivables balance, reflecting the fact that most programs and courses are completed and our clients have paid before year end. Now, expanding on the initial look at 2018 we gave you with our third quarter results, we've provided specific first quarter and full year 2018 guidance. Before I move to the numbers however, I'd like to comment on recent exchange rate movements to give you further context for our guidance. When we provided our preliminary view of 2018 in early November, we were basing our expectations on a forecasted US dollar, South African rand exchange rate of approximately 13.5. This average monthly exchange rate for this currency pair, had been within about 2% of this mark for all of 2017. And in fact, had weakened slightly we in the fourth quarter. Further, forecasts from various international currency trading desks, projected either a steady or further weakening rate throughout 2018. However, over the past 90 days, the expectation and eventual realization of an improving political climate in South Africa, has significantly strengthened the Rand relative to the dollar. Today, the dollar rand exchange rate is below 12, a change of more than 10% from our initial assumption. Within our Short Course segment, a strengthening Rand has the effect of converting Rand denominated revenue and expenses into higher dollar amount. With a minority of short course revenue and a majority of short course cost denominated in rand, this means that if the exchange rate stays closer to current levels for the remainder of 2018, the operating plan we had in November would convert to a little more revenue, but a lot more cost compared to our earlier expectations. That said, we believe that for 2018, the consolidated business can produce at the adjusted EBITDA margin we achieved for 2017. This is within the range we previously told you to expect, and you should understand that we will be reticent to move this up, unless there's a significant change in environment, or until we have clear evidence of sustainable over performance. Note that the guidance given here today assumes exchange rates as of December 31, 2017, most notably, a dollar rand rate of 12.39. So now to the numbers. On the topline, we're expecting revenue of between $91.1 million and $91.6 million for the first quarter, and $397.7 million and $402.7 million for the full year. At their midpoints, these ranges imply year over year growth of 40.9% for the first quarter, and 39.6% for the full year. As you can see, we've raised our expectations for full year revenue significantly since the November preview, and that the majority of this increase relates to the first quarter. Greater visibility into first quarter start dates and first time course enrollments in our Short Course segment, along with some smaller benefit from changes in exchange rate assumptions, are the primary drivers of this increase. Based on our first - current first quarter expectations and additional visibility we now have into short course timing later in the year, we've updated our expectations for how revenue will be distributed across the year, including pulling some revenue timing forward. We now expect that approximately 46% of 2018 revenue will be recognized in the first half of the year, and that in the second half of the year, approximately 49% of second half revenue will be recognized in the third quarter. Looking at earnings measures, we expect a net loss of between $14.9 million and $14.5 million for the first quarter, and between $45 million and $442.8 million for the full year. When looking at period over a period net loss comparisons, remember that we acquired GetSmarter on July 1, 2017, which will skew both dollar and margin pattern throughout the year. Also remember that we made a strategic decision to increase the rate at which we launch new graduate programs, from 10 in 201y, to 14 expected in 2018, and then 16 and 19 expected in the two subsequent years. And as we’ve said previously, this increase in the number of programs that are in their investment phase, has the effect of slowing the pace of margin improvement as measured at the adjusted EBITDA level. At the same time, we still expect meaningful year over year increases in stock based compensation expense, both because of organic growth and the addition of GetSmarter management to our plan, and depreciation because of our recent unexpected facilities build out. We do not expect that these increases in stock based compensation and depreciation expenses will be offset by the purposely smaller expected year over year improvement in adjusted EBITDA. We expect an adjusted net loss of between $7.3 million and $6.9 million for the first quarter, and between $7.7 million and $5.6 million for the full year. We also expect an adjusted EBITDA loss of between $42.3 million and $1.9 million for the first quarter, and positive adjusted EBITDA of between $15 million and $17.3 million for the full year. When looking at period over period comparisons for these two measures, remember that adjusted net loss is still impacted by the operating and facilities related factors, and adjusted EBITDA is still impacted by the operating factors that impact net loss. And as we told you in our 2018 preview, because of the investments we're making in both launching and scaling graduate programs earlier in the year, and because we anticipate launching a meaningful number of new short courses in the mid to late year, we're anticipating significant differences in our margin patterns, both from 2017 and between the first and second halves of 2018. In November, we gave you a fair amount of detail about how we expect our loss and earnings measures to be distributed across the year. Now that we have a few more months of visibility into our Short Course segment, we've made some updates to our distribution expectations, which should help you with our current thinking on the later 2018 quarters. I encourage you to read this section of our earnings release carefully in order to understand how we now believe 2018 will unfold. And finally, as a last word on our forward looking expectations, I want to remind you that we remain in the early stages of integrating the GetSmarter acquisition, and scaling what is still a relatively early stage Short Course segment. As we've said previously, for 2018 we expect our Short Course financial results to remain highly sensitive to the performance of new courses in their first or second presentations. By definition, early presentations of new courses have the least certainty around student enrollment, and therefore revenue and margins. Please give us some time to see how these early presentations perform, and don't immediately assume that revenue and margin results will come in at the top end of their ranges. But despite that cautionary note, we remain very excited about how both our Graduate Program and Short Course segments are shaping up for 2018. The fact that we're comfortable in significantly raising our first quarter and full year revenue expectations based on the Short Course outlook, only further reinforces our belief that the GetSmarter acquisition can create real value for the combined company. Chip?
Chip Paucek: As we stand here today on the cusp of our 10th birthday, clear that 2U has built a proven, purpose driven business model that’s helping transform higher education for the better. The life changing outcomes of students in our partner programs and the performance of our business, are both compelling proof. I want to close with a note about how the power of what we're building can be seen in the caliber of people who have chosen to join our board in the past few months. Valerie Jarrett, former senior advisor to President Obama, and Greg Peters, Chief Product Officer at Netflix. I want to emphasize the word chosen, because these are two amazing individuals, trailblazers in their respective worlds who have the ability to choose how they live their values. And both of them have chosen 2U because of their passion for education and belief in our mission. I'm so excited and honored to have Valerie and Greg join us on the journey to becoming the world's most iconic higher education company. And with that, we open up for questions.
Operator: Thank you. [Operator Instructions] And our first question is from the line of Michael Nemeroff with Credit Suisse. Your line open.
Michael Nemeroff: Thanks guys. Thanks for taking the questions. Nice job on the quarter. Cathy, the guidance for Q1 is quite a bit above consensus, probably the strongest guidance you've given for an out quarter since going public. How much of that upside is coming from the graduate degree programs, and how much of the upside is from GetSmarter? And in your comments, you talked a lot about FX and movements. Is any of that coming from FX? And then a question for Chip, specifically on the new international programs. Congrats on that. How many international programs do you expect to launch in 2019? And Chip, maybe you can talk about any of the differences from a deal flow and economics, if any, from the US domestic programs. Are there any vagaries in the metrics that we should expect as you build a bigger overseas business? Thanks.
Cathy Graham: Hey Michael. So while we don't give guidance on a segment basis, I think what I - to echo what I said in my prepared remarks is really the primary driver for us in raising our guidance so much in the first quarter, is that in the latter half of - the latter section of the fourth quarter, we were actually able to see that there were earlier start dates for some of the short courses, which made a more - which pulled more revenue into Q1, as well as getting a better feel for the fact that some of those courses would have their first cohorts enroll higher than we might have originally expected. So that really was the primary driver. As for exchange rates, really not that huge a factor here. And it was definitely the smaller piece of any change in our guidance.
Chip Paucek: And Michael0, what I would add to that is I feel like we got smarter with GetSmarter. So we feel very strongly about that business and how it's coming together, how the integration is going, how the team is working. We’re much more actively involved on the marketing side with GetSmarter and it's really going extremely well. On the IGP, I would say first of all, we do think it's a significant moment for the company. It is our first. As I said, if I was going to pick one sort of combo of university and degree, this might be a great way to start in Europe. We do think that there is - that it is an expansion of our TAM. We've told you guys for a long time that $80 billion of US graduate education has been the sort of more immediate aspect of the total very, very large number of higher education worldwide that we're going after. And now we are expanding to Europe. We do think that this won't be our last. We’re not ready to disclose how quickly we’ll go, but I think you should expect patience here. If you might remember, when we signed Lord Willetts - David Willetts joined us a couple of years ago. People thought that that might mean immediately that we jump into Europe, and we did not. We took our time. We found the right partner, the right opportunity and you will see that continue. But we do believe that it is a big part of the story on a go forward basis long term. So patience, but we do think the opportunity is very large. This particular program fits into the sort of notion of a DGP nicely. It is a £50,000 price degree. It’s an MBA where we have lots of MPV activity. And we feel that with the team that - we're building a larger team to go after the opportunity in a way that should allow us to express our MPV strategy. So we're pretty excited about it.
Michael Nemeroff: That’s helpful, Chip. Does it change the business model? Are there any differences in the way the revenue comes in, the way that the deal, the length of the time the deal closes? Any real difference in the IGP versus the DGPs from a business standpoint?
Chip Paucek: While I can't tell you every future IGP, just like every future DGP, I don't know the answer to that, but I can tell you, this one, no. this one is well within our standard, and if it wasn’t, I would have to disclose it because we tell you at this point when something is different and it's not. So the school's pretty fabulous and we're excited to launch it in ’19.
Michael Nemeroff: Great. Thanks for taking my questions. Congrats.
Operator: Thank you I'm next question comes from the line of Michael Tarkan with Compass Point. Your line is open.
Michael Tarkan: Thanks. Just competitively, I ask you this a few times, we’ve seen some activity on the for-profit trying to move into non-profit space. I’m just kind of wondering if you're seeing anything, any other sort of competitors out there trying to build what you guys have done so far.
Chip Paucek: No. I don't. I think at this point, the for-profit space is largely irrelevant. It really is a different market. People don't apply to Berkeley and Strayer at the same time. We serve Berkeley. Number two, we believe that we're the only company right now that is - that goes very deep on both depth and breath. We believe that our bundle is getting better and better, whether it be through Learn with WeWork or the global access pathways with WeWork, or just the general business that we're building around things like accessibility and data architecture. And it's our job to keep making it better. And what we have that many of the companies don't have, is a fantastic alignment among the folks on this call, my board, my team, my employees and our partners, to invest what is a very large amount of negative cash in each DGP. And we're now proving with the cohort margins that it makes a ton of sense to do that, but it's very tough to get there. And we spent - we raised $102 million of venture capital before IPO and we spent it. Now, the important thing is, we didn't make mistakes twice very often and we learned from them and we built a very large business with a real moat around it. So for somebody to really compete, it can't be a super horizontal model with a light layer of investment across a bunch of different activities. That’s not how we enter the market. So we're going to be thoughtful and careful, but just like with UCL MBA, we're going to go big when we do it.
Michael Tarkan: Thanks. And then just from a GetSmarter perspective, I know it's early days, but is that tracking maybe better than expected or? And then as a follow up on that, how do we think about - I know revenue per student is picking up, revenue per FCE is picking up based on the mix. But is there pricing power within GetSmarter, at least in the US?
Chip Paucek: So first I would say, we're thrilled with where GetSmarter is. And I think some of that is evident in the quarter we just had and in our future guide. I mean it's fairly clear. We told you at Investor Day that our DGP business, our sort of core business, that we would see right around 30% and then it would accelerate in the out years. We feel strongly that that's actually still very much on track. But given that we’ve told you that it's going to be around 30%, and obviously we're showing 39.6% revenue growth, you can do your own math there. It’s - so we feel very strongly about how GetSmarter is progressing. And really the sort of theme of this call, when we discussed how we were going to theme it is, we're just getting started on some level. We’re a decade in, but we haven't done most things to give GetSmarter credit. While we are helping them in a variety of ways, the team built a great pipeline, with great universities and great courses. And by the way, you guys should all take the blockchain course by the way. So the opportunity is huge. We haven't done much cross selling, very little. From a funnel perspective, Berkeley is now a client of GetSmarter. It is reasonable to expect there to be many additional clients within the 2U portfolio that sign up. But GetSmarter is delivering on its own in a way that's pretty powerful. And as Cathy said in her prepared remarks, which I know you're going to want the script after because there was a lot there, it’s also clear that the mix moving to more UK and US courses, is good for the average FCE cost for GetSmarter in general. So we feel really good about it.
Michael Tarkan: Thank you.
Operator: Thank you. And the next question comes from the line of Sarah Hindlian with Macquarie. Your line is open.
Sarah Hindlian: Okay, great. Thank you so much and congratulations on the quarter. So had a couple of questions for you. Chip, maybe I’ll start with you on this one. Berkeley looks like they became one of your first graduate degree programs to sign up for short coursework. How should we be thinking about that cross sell opportunity in there? And maybe just some other follow up questions I have around what you’re doing to optimize GetSmarter. There was clearly some nice improvement there in both enrollments and in price per course. So would love to hear what 2U brings to the table, and really where you're seeing some success there.
Chip Paucek: So you cut out in the middle, but I think what you asked is, where are we in the cross selling opportunity overall? And it is super early days.
Sarah Hindlian: That’s right.
Chip Paucek: We have - truly we haven't done much of it at all. We're going to do it very carefully and thoughtfully. But we're excited about it. We think it's very real in terms of the opportunity long term, particularly within the short course universe where there's a ton of people that will want to take more than course universe, where there's a ton of people that will want to take more than one course. We have definitely seen that and we think that while it's really not part of our ’18 set of guidance at this point, we think that's a place where there's a ton of room to run, both cross selling across GetSmarter, across 2U Grad and GetSmarter, and then once our clients start overlapping, like you're going to see with Berkeley cybersecurity, you've got really interesting opportunities where you have some that should effectively bridge directly into the notion of the DGP or the IGP. So we think that's really - there's a ton of opportunity there and it's early days.
Sarah Hindlian: All right Chip, just one more question for you. I’d love to hear a little bit about - a little bit more from you about what drove your decision to move on to Learn.co. Where did that go with the LMS solution in quarter? That was a pretty interesting move. What does that bring to the table also?
Chip Paucek: So I talked about it a little bit in terms of the architecture of it. what I would tell you is that over the last several years, we've spent a ton of investment on a bunch of things that no one would ever see, but are critical to our clients, whether it be data security, data architecture, accessibility, things that are really important to our university clients, and of course the marketing apparatus or the placement apparatus, both of which have a tremendous amount of tech. and then we spend a lot of time building out things like Central Park, which is sort of SaaS technology that allows us to launch programs more easily and quickly. And so we did say to the world last year, look, we're going to be investing more in the learning tech side. And we were thrilled that when we - when I got the demo for Learn, knew very quickly that it could be something that would be a true step forward, sort of keep us ahead of best in class. It's built on top of GitHub and just allows the flexibility that I think I would argue to you, from a content standpoint, very sort of content agnostic. Doesn't have rigid bones like most of the learning management systems do, in part because of that architecture. And it will make us feel a little bit like moving from Hotmail to Slack. And it's STEM first, so it has coding directly built into the platform itself, like a coding environment. So that will help us with different verticals that today might be difficult for us to tap with our existing system. So there's a bunch of things about it we like. Also extremely impressed with the team over there and the work so far on the integration is off to a great start. So we're pretty pleased about that.
Sarah Hindlian: Oh, awesome. Thank you so much. Appreciate it.
Operator: Thank you. Our next question comes from the line of Monika Garg with KeyBanc. Your line is open.
Monika Garg: Hi. Thanks for taking my question. Cathy, at the analyst event, you had talked about 2019 DGP growth of 32% to 34%, and 2020, 33 to 35. And you said GetSmarter growth higher than DGP. Given that you raised significantly your guidance 2018, is it still to assume ’19, ’20 growth could be in the similar ranges?
Cathy Graham: Yes it is.
Monika Garg: Thank you. Then I have a question on the short courses. Chip, do you think there could be short courses opportunities at enterprises? Like as enterprises, Fortune 500 companies look to train their workforce, could you sign enterprise wide agreements with Fortune 500 companies, which gives access to their employees for short courses you offer?
Chip Paucek: So I would say today, the marketing behind both our short course and our 2U Grad segments is largely focused direct to consumer. And in both cases, there is some enterprise purchasing going on. It's not a huge part of the focus, but we think it's directly relevant. If you take blockchain as an example, I was kind of giving you all grief, that I feel like every consulting firm on the planet should go out and take our blockchain course because all the consultants running around are talking about it, but they really don't know exactly what it is. So we do think there’s an enterprise play there. But at this point, the growth you're seeing in GetSmarter is being driven by effectively our, I think very strong expertise in the direct consumer world. At this point, the machine learning that we're applying in the marketing business on both sides, is really strong. And machine learning is machine learning, whether it's applied to our DGPs and IGP or short courses.
Monika Garg: Got it. And just the last one, increasing your revenue in one quarter significantly walked to what is leading to better growth expectations. Is it mainly GetSmarter? And could you also talk about profitability expectations for GetSmarter? Thank you.
Chip Paucek: So as we said a moment ago, clearly the GetSmarter business is off to a great start and is having a strong impact, but we're also very pleased with where our core is. And we do think that we will see acceleration in the core business in ’19 and ’20. Cathy?
Cathy Graham: Yes. So as I said in my prepared remarks, the primary driver of this is addition of the - first quarter step up is definitely the improved or additional visibility that we had into first quarter enrollments in new courses and start dates, some of which were earlier than we had originally expected, bringing more revenue into the first quarter. And that was the biggest factor around that revenue. From a profitability standpoint, what we're doing now is investing a tremendous amount of any revenue we get back into making sure that we drive the long term sustainable business, both from a marketing perspective and from additional infrastructure perspective in GetSmarter. So we're not willing at this point to sort of step up any margin expectations because quite frankly, we think it's in everybody's best interest for us to be reinvesting those funds.
Monika Garg: Thank you so much.
Operator: Thank you. Our next question comes from the line of Kerry Rice with Needham & Company. Your line is open.
Kerry Rice: Thanks. Most of my questions have been answered, but maybe just a couple here. Maybe one for Chip. Interestingly, on the top 10 or maybe top 15 programs, are you surprised by the uptake in programs such as the NYU Speech pathology? Because I think when you launched that, you thought it would be a pretty small course. Now it's number 11 small program. And then the second one is maybe just some housekeeping for you, Cathy. Can you give us what backlog was exiting 2017 and the LTV to TCA ratio? Thank you.
Chip Paucek: Thanks, Gary. So our program selection algorithm is being used really wisely by the team. We’re grading every single opportunity and being surgical in our choices as to how to deploy capital. And I would tell you that no, we're not surprised. I think people are surprised by something like speech until you understand that there's a huge shortage in the country of good quality speech pathologists. When my son Henry was a year old, he had - he was effectively deaf and we had to have surgery, and ultimately had to use speech - a speech pathologist. And it was really hard to find one in Annapolis, Maryland. So it's a great example of a two year degree, in demand, not many programs, really difficult to do because of the clinical placement aspect. So while it's not the largest vertical, we thought it was obvious and it's doing well. And so now, are there surprises? Of course because we don't have a crystal ball. So there are times there are surprises, but in general, the portfolio is not only not surprising us, if anything, it's surprising us to the positive. So we feel very strongly about it.
Cathy Graham: And Kerry, the backlog at 12/31 was $308 million. I'll just remind you guys all that backlog is always lower at the end of the year than it is in the preceding quarters, because at the end of the year, almost all of our courses are completed, or all of the courses in our program are completed for the year. There’s very little that runs over year end. So you don't have anything that’s sort of mid-course. There’s a seasonal decline in that backlog. And LTR to TCA is around 3.1. And that’s - we’ve sort of told you guys that we're investing pretty heavily in driving launches in 2018, which are earlier. So that’s actually right where we would expect.
Kerry Rice: Thank you.
Operator: Thank you. Our next question comes from the line of Brian Schwartz with Oppenheimer. Your line is open.
Brian Schwartz: Good afternoon and thank you for taking my questions, and congratulations on the quarter. it's a very nice way to end the year again. One question I wanted to ask you is on the international markets for GDP. Now that you're opening up those markets here with the announcement today, does it change the capacity or the cadence of the number of new programs that the business can sign or start per annum? That was one question I wanted to ask. And then the second question on the international markets is just kind of understanding the go to market strategy. It seems here in the US, it was more of an inbound strategy. The partners were all coming to you. And I was wondering if that's the same situation international, or if it requires more of an outbound go to market strategy Thanks.
Chip Paucek: Thanks, Brian. So no. I mean I would say, our DDP strategy has really not been inbound. It’s outbound. We’re very surgical in what we go out and find and have used data to our advantage over the years and have gotten quite good I think at predicting the outcome of the programs. And IGP will be no different. We think the opportunity is very big. The specific go to market strategy of every single degree is somewhat different, it's important to know. I mean these are - particularly when it's a new vertical. Now, fortunately in this case, it is not a new vertical. The MBA vertical is booming for us. So we do think that it's great to start our first international program, or our first European sort of flag that we planted with something that we have a tremendous amount of experience in. and you might have seen that we recently hired Katie Brin, the former Chief Privacy Officer of the Federal Trade Commission. So we do think that that's also super relevant to the long term future of how we think about all aspects of marketing our business. So Brian, we have to learn and every time we do speech pathology is different than data science. So there's a lot of learning there and we have to figure it out, but once we get one launched, we get very good at understanding the apparatus we need to build for that vertical.
Brian Schwartz: Thank you. And then the one follow up question, Chip, on the WeWork announcement, won’t make you repeat that, the very proposition. I think you were very clear on the opportunities on the retention side and the pricing in the vertical side. What I wanted to ask you was just on the enablement of this partnership and how long the expectation that you have is going to take to bring the technology that you want onto your platform or any other aspects of the enablement between this new partnership announcement? Thanks.
Chip Paucek: Well, it’s multi-dimensional. The thing that will take the longest is the learning center. That’s very much a work in progress. But something like the scholarships and the global access, we think will roll out very quickly, in the short term. And then the Learn.co will roll out gradually to each of our partner programs. It’s non-trivial moving 1,000 students from one platform to a different platform. The data migration alone is super important and you can't screw that up because these are people’s Masters degrees. So we have to do it thoughtfully and carefully. But I can tell you, tomorrow I leave for our partner symposium, which is our annual partner meeting, and there's no question that they all want it and they’d all like it as soon as possible. So we're working on a plan to try to roll it out, and I'm going to tell them before I tell you.
Brian Schwartz: Fair enough. Thank you very much for answering my questions today.
Operator: Thank you. Our next question is from the line of Corey Greendale - First Analysis. Your line is open/
Corey Greendale: Good afternoon. Congratulations on the good end to the year. I just want to circle back quickly to Michael Nemeroff’s question at the beginning. The way you’re talking about international - the London program, Chip, it sounds like it should have economics more like an MPV program. But I just want to verity. Is that right?
Chip Paucek: Yes. I mean it is an international degree program, but it is £50,000 in a vertical that we operate today. There will certainly be some crossover. Now, every DGP that has MPV is slightly different. And you've probably seen that in our initial cohort releases, like not all of them immediately launch at the same size. And some of that has to do with the region and some of that has to do with the marketing apparatus. Some of that has to do with the discipline, the vertical itself. They do act differently, but Cory, it's reasonable to expect that this has more MPV feel than not.
Corey Greendale: Okay, good. And as you said, there was a lot in the script. Did you say that the top five out of the top 15 have 700 new enrollments?
Chip Paucek: We said the top seven out of the top 10 have more than - 500 or more. You in - it’s okay. You in particular have done quite a bit of work on exactly which one is which, so I’ll let you figure that out, but.
Corey Greendale: Yes, fair enough .actually that sort of eliminates the question I was going to ask about that, but thank you for the clarification. And then Cathy, just maybe slightly - well, this one is out in the weeds. Is there any impact of 606 on the guidance?
Cathy Graham: So on 606, we have said previously that there is no impact on our financials from - on our revenue from 606. There is potentially some impact on the cost side, but it should be positive and largely immaterial. But from a revenue standpoint, there's nothing.
Corey Greendale: Okay. And this is one, I don’t’ know if it’s in the weeds or just in the far distance, but with the change in the tax law, I realize it’s a long time before you’re a taxpayer, but can you give us any guestimates for those of us running long term DCFs, what your tax rate is when you become a cash taxpayer?
Cathy Graham: So what I could tell you is that we have reassessed all of our tax items at the new 21% rate, and there should be no impact on either the size of our existing NOLs, or on our ability to use them. Obviously it will impact going forward our sort of creation of NOLs, and potentially our ability to use those. But on everything going backwards, no. from a future tax rate standpoint, unfortunately, Corey, I think that A, hopefully it's beyond the - it’s beyond your - the horizon of your model. But if you're running for very long, what we don't know is what our international tax rates will be relative to the US, and what the size of the relative profitability will be at that point in time. So it's a little difficult for us to forecast.
Corey Greendale: Okay. I’ve got a model going up here on 2030 so we can talk about what you think of my numbers next time we talk.
Cathy Graham: You got it.
Corey Greendale: One other quick one, Cathy, sorry, just are there any - is there any guidance you can give on kind of cash flow, things like CapEx or cash flow from ops or anything like that for 2018?
Cathy Graham: So I think that if you look at what our CapEx was for 2017 and then take that in conjunction, because we have not given specific guidance in that. So I don't want to get too specific. But I'll tell you how to get there. And then talk about - and then go back and look at our call from a year ago and what we said about the drop in our CapEx expense. In 2018, that should give you a reasonable way to get to CapEx for this year.
Corey Greendale: Okay. I appreciate the help. Thank you.
Operator: Thank you. Our next question comes from the line of Jeff Meuler with Baird. Your line is open.
Jeff Meuler: Yes. So the 300 500 study state target per year has been up there for a while. Just I guess, with season programs that you have and the data that you have from that and are disclosing today, coupled with things like UNC MBA which has been around since 2011, moving up the list and probably benefiting from MPV driven efficiencies. I guess what gives you confidence that 300 or 500 is still the right average target versus potential upside bias to that?
Chip Paucek: Well, I mean it is a portfolio, Jeff. And so clearly the top 15 list, looking pretty darn good. And the timing on the top 15 list also looks good. But it's a portfolio and we're not at a point where we're going to increase that number yet.
Jeff Meuler: Okay. And then just as I look at the magnitude of GetSmarter revenue variation from quarter to quarter, how much of that is naturally I guess outside of your control because of the business model? Versus I guess over time, what is in your control in terms of increased frequency the course are run or whatever it is? Just how are you thinking about that?
Chip Paucek: Well, as GetSmarter ramps up its individual courses and they sort of pursue a balanced portfolio of course options across their university partners, we think we should be able to add to the predictability, and I know they believe that. So that's a key goal for the company is not just the individual courses that might be the big - the sort of highest sellers, but also finding those stable courses like they have. Their UCT portfolio, their University of Cape Town portfolio is really strong and very stable across a whole bunch of different disciplines. So we feel like the frequency of the courses running is also something they're working on pretty actively. So we feel like over time, as we're able to commit more capital and sort of stabilizing the company, which is part of the reason Cathy was not willing to go there yet on exactly how profitable we think it will be, because we're in heavy growth mode.
Jeff Meuler: Okay. Thank you, Chip.
Operator: Thank you. And our last question is from the line of Jeff Silber with BMO Capital Markets. Your line is open.
Jeff Silber: Thanks so much for sneaking me in and I apologize. I'm in transit, so may be a little bit noisy here. I’m just curious …
Chip Paucek: No, you sound great.
Jeff Silber: Good to know. Thanks so much. I know down in Washington, there's a lot of stuff going on. One of the things that they're working on is the potential reauthorization of the Higher Education Act. I know it's a long way to go, but there has been some talk about capping some of the Graduate Program loans. I'm just wondering if you're hearing any more about that, if you think if this does go through, how might it impact your business? Thanks.
Chip Paucek: No problem, Jeff. So I would say, with just like any legislation, what is being talked about versus what gets put in place is there's a ways to go on loan caps in particular. We feel like our business has incredibly high quality students in incredibly high quality programs that if there are caps, private lenders would be thrilled to loan too. So we're not that worried about it. and there's also a variety of ways where fostering innovation across something like helping a grade school like Emerson or Rice or Berkeley, move online, we think there's a variety of places where there could be - you’re getting a little horn there. You have horns coming. They like what I'm saying there, Jeff. So I would argue to you that we feel like we were strong in the past administration. We think we’ll be strong in this administration because fostering innovation across really high quality universities is a win.
Jeff Silber: Okay, great. And then in terms of tax reform, Cathy, I know you went through some of the potential impact. Anything else besides the tax rate, accelerated depreciation or things like that. Does that impact you at all?
Cathy Graham: No, it actually doesn't. we - there were things like transition payments in - to enable repatriation in 2017, that we looked at all of it and none of it applied to us during this period.
Jeff Silber: Okay, great. Thanks so much for taking my questions.
Chip Paucek: No problem, Jeff. So thanks everyone …
Operator: Thank you. And those are all the questions we have.
Chip Paucek: Thank you. So I'll end with a quick shout out to a 2U that really delivered the UCL deal. Ryan Douglas, thank you. Your folks should be proud. Speaking of folks, hey Edward Paucek. To my dad, I say no back row, pops. And that's it, folks. We’ll see you out on the road.
Operator: And ladies and gentlemen, we thank you for participating in today's conference. This concludes the program and you may all disconnect. Have a wonderful evening.